Operator: Good day, and thank you for standing by. Welcome to the 2024 Third Quarter Frontier Group Holdings Earnings Call. At this time, all participants are in listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I will now hand the conference over to your first speaker today, David Erdman, Senior Director of Investor Relations. Please go ahead.
David Erdman: Yes. Thank you, and good morning, everyone. Welcome to our third quarter 2024 earnings call. On the call with me this morning are Barry Biffle, Chief Executive Officer; Jimmy Dempsey, President; Mark Mitchell, Chief Financial Officer; and Bobby Schroeter, Chief Commercial Officer. Each will deliver brief prepared remarks, but before they do, I’ll recite the customary Safe Harbor provisions. During this call, we will be making forward-looking statements, which are subject to risks and uncertainties. Actual results may differ materially from those predicted in these forward-looking statements. Additional information concerning risk factors, which could cause such differences are outlined in the announcement we released earlier, along with reports we file with the Securities and Exchange Commission. We will also discuss non-GAAP financial measures – actual results of which are reconciled to the nearest comparable GAAP measure in the appendix of the earnings announcement. So I’ll give the floor to Barry to begin his prepared remarks. Barry?
Barry Biffle: Thanks, David, and good morning, everyone. Our revenue and network initiatives helped to overcome headwinds from excess domestic capacity and we saw green shoots midway through the quarter as we optimized our capacity and other carriers made needed cuts of their own. Domestic capacity growth has now slowed to its lowest rate post-pandemic and in fact for the first time in 10 years, it’s trailing gross domestic product excluding COVID years. September RASM inflected higher by approximately 5% excluding Helene impact. And while lower capacity was a factor, we’re seeing continued progress with our sales platform, the New Frontier and loyalty program enhancements. Bobby will expand on these items in just a moment. Our third quarter adjusted pre-tax margin loss of 1.1% was at the midpoint of our guidance, despite a challenging conclusion in the quarter as Hurricane Helene struck the Southeast United States. Excluding the impact from the hurricane and the Microsoft CrowdStrike outage, our operation delivered year-over-year improvements across nearly every operational metric. This is a strong validation of our network simplification strategy, which also contributed to our 4% reduction in adjusted CASM ex-fuel on a stage adjusted basis during the quarter. Improvements in our [Technical Difficulty] helping to drive the lowest complaint rate we’ve had in three years. We expect the RASM inflection to strengthen in the fourth quarter, including the headwinds from Hurricane Milton, supported by the maturity of our network and revenue initiatives and moderating capacity growth. In addition, the schedule overlap with our closest to competitors is expected to significantly lower in the fourth quarter and into 2025 across nearly all Frontier crew bases. Milton forced the cancellation of nearly 20% of our scheduled flights over a four-day period and caused demand softness for travel impacted areas on top of the lingering effects from Helene. I’d like to extend our thoughts to those affected by recent hurricanes, including many of our own employees who endured the brunt of them, as well I’m grateful to the valued team member Frontier for safely navigating these challenges and working diligently to quickly and safely recover the operation. I’ll now turn the call over to Jimmy for a commercial overview. Jimmy?
Jimmy Dempsey: Thanks, Barry, and good morning, everyone. Briefly recapping the quarter, total operating revenue increased 6% versus the prior year to $935 million on capacity growth of 4%, our slowest quarterly post-pandemic rate resulting in RASM of $9.28. Departures increased 17% on a 14% shorter average stage. Total revenue per passenger was $106, down 8% versus the 2023 quarter, largely driven by oversupply domestic seats prior to broad industry capacity reductions, which began to take effect midway through the quarter. As Barry mentioned, we saw a year-over-year inflection in stage length adjusted RASM as we progressed through August and into September as a direct result of our own capacity adjustments and the constructive capacity adjustments across the industry. We removed 37% of off-peak flying, shaping the week on the higher demand days whilst adding new routes, which increased our revenue pool by 17%. This strategy is proving to be a successful adjustment to our deployed capacity whereby in addition to leisure traffic flows we enhance our attractiveness to VFR and small business traffic. Seat capacity in the fourth quarter will continue to grow with deployed seats increasing by 6.5%, albeit on a shorter stage of 875 miles, resulting in ASM production reducing by 2% to 3% year-over-year. We opened three new stations during the third quarter Bridgetown, Barbados, Port of Spain, Trinidad and San Jose, California and launched 17 new markets. We continue to expand our network in the fourth quarter including the addition of 33 new markets launched from Palm Springs, Vail/Eagle, Burlington, Vermont and Washington Dulles. Although the Hurricane Helene and Milton dented our end of Q3 and early Q4 performance, we have seen a strong bounce back in bookings that is now in line with the trajectory we were experiencing in late August and September. Off-peak traffic flows remain challenging and it is our expectation that we continue to moderate flying on Tuesdays, Wednesdays, Saturdays and red eye flying throughout 2025 with a focus on improving our RASM performance as significant network shift from overcapacity underperforming markets at the end of 2023 and early 2024 results in maturing redeployed capacity across our 13 base footprint. We expect capacity growth in 2025 to be in the mid-single digits on an average stage length of approximately 900 miles. Our simplified out and back network enters into its second year of operation as we progress through Q2 2025 with our new 2024 bases of Cleveland, Cincinnati, Tampa, Chicago and San Juan, Puerto Rico maturing from a commercial and operational perspective. Throughout 2024, we’ve been working diligently to improve our merchandising to the customer and launch a New Frontier together with some enhancements to our day of travel experience with our customers. I’ll hand it over to Bobby to go through some of these together with an update on our performance in our newly launched Premium products and enhanced loyalty program.
Bobby Schroeter: Thanks, Jimmy, and good morning, everyone. Our customer experience and revenue initiatives are showing significant momentum and I’m excited to highlight some of the key advancements we’ve made recently. We continue to prioritize improving the customer experience through technology. This quarter we introduced self-service international travel document verification in the Frontier mobile app, allowing travelers to easily verify their documents before arriving at the airport. Over 80% of our customers now use the app on the day of travel for fast and easy check-in, bag drop and boarding, which has greatly enhanced the overall airport experience. To that end, we will be delivering a new mobile app toward the end of this year, which will provide a significantly better customer experience from today. Additionally, on the airport front, we opened new ground loading gates in Denver, expanding our capacity at our home base and improving efficiency during peak travel periods. Turning to revenue. The New Frontier bundles Economy, Premium and Business have been a significant driver of growth since their launch. Due to the success on flyfrontier.com, we added these bundles to the mobile app in mid-September, allowing customers to choose their preferred bundle not only at the time of booking, but also before travel and at check-in. This multi-stage offering has increased attachment rates for bundles and we’re on track to extend this functionality to NDC enabled third-party platforms early next year. The simplicity and transparency of bundle pricing has resonated well with customers who appreciate the clear options and the ability to easily understand the total cost of their trip. This success positions us well to continue attracting new customers and to retain existing ones. Our Premium products UpFront Plus and BizFare have also continued to perform very well. Paid load factor for UpFront Plus, which is still in its maturity phase is approaching 70%, generating 30% more ancillary revenue per passenger compared to the previous stretch seating. Similarly, BizFare has also been a strong performer with the utilization rate over 250 basis points higher in the third quarter compared to the second and a revenue premium nearly 50% higher than basic fares. As we expand BizFare into search engines like Google Flights and KAYAK in Q4 and further into corporate booking tools next year, we expect these products to continue driving incremental revenue. Our co-branded credit card partnership is yielding strong results as well. The introduction of two free check bags in August and Instant Elite Gold Status in May for cardholders has helped to drive co-brand revenue up 15% year-over-year for the third quarter, with applications up 39% and spending increasing by 9%, the highest on record. These enhancements have made our card more competitive and appealing, particularly for customers in key markets and crew bases, and we believe there is a large untapped revenue opportunity for us that we will be pursuing even more heavily in the future. That concludes my remarks and I’ll turn it over to Mark for the financial update.
Mark Mitchell: Thanks, Bobby, and good morning, everyone. Briefly recapping the quarter, total revenue was $935 million, 6% higher than the 2023 quarter. Fuel expense was $261 million, 10% lower than the 2023 quarter at an average cost of $2.67 per gallon. The decrease in fuel expense was driven by 13% lower fuel prices, partially offset by 4% higher consumption resulting from higher flown ASMs of a similar rate. Adjusted non-fuel operating expenses were $693 million within guidance, excluding most of the benefit from the $40 million legal settlement reached in September related to litigation brought against a former aircraft lessor. Approximately $2 million of this settlement is related to legal fees we incurred and thus were not adjusted for our non-GAAP earnings presentation. Proceeds from this settlement were received in early October. Adjusted CASM ex-fuel was $6.89 or $6.37 on a stage adjusted basis, 4% lower than the 2023 quarter driven by our cost savings program, which has delivered greater than $100 million of annual run rate savings since inception in the third quarter last year and the cost benefit from two additional aircraft sale leaseback transactions in the quarter. Partially offsetting these items were higher costs tied to an increase in departures related to our decision to reduce average stage and higher costs due to fleet growth and the lower capacity on off-peak days to better align with demand trends. Third quarter pre-tax income was $27 million while adjusted pre-tax loss was $10 million yielding a 1.1% loss margin, the difference primarily related to the non-recurring legal settlement I just mentioned. Net income was $26 million while adjusted net loss was $11 million. Our adjusted net loss is greater than our adjusted pre-tax loss due largely to the impact of non-deductible tax items and the resulting impact to our quarter-to-date tax rate, particularly as our year-to-date adjusted pre-tax loss is close to breakeven. We ended the quarter with $781 million of total liquidity comprised of unrestricted cash and cash equivalents of $576 million and $205 million of availability under our new revolving line of credit that closed in September and was undrawn at quarter end. As previously disclosed, our new revolver is secured by our loyalty and brand related assets, it features expansion capabilities, which subject to certain terms, conditions, and additional lending commitments may be increased to $500 million. We’re also able to enter into additional indebtedness secured by our loyalty and brand related assets, which may provide for significant incremental liquidity as desired to the extent such indebtedness is pari-passu [ph] to that of the revolving credit facility. As part of establishing a new revolver, we also updated our existing PDP financing facility and secured two additional PDP facilities in September, which in the aggregate expands our PDP financing capacity by $113 million and covers aircraft deliveries through 2027 and certain deliveries scheduled in 2028. We had 153 aircraft in our fleet at quarter end after taking delivery of five A321neo aircraft during the quarter, all financed with sale-leaseback transactions. We expect to take delivery of two spare aircraft engines and six A321neos in the fourth quarter, all of which are planned to be financed with sale-leaseback transactions and exit the year with 159 aircraft. Our fleet plan for 2025 remains consistent with the amended delivery schedule we disclosed last quarter with the pace of deliveries in 2025 weighted towards the back half of the year. We expect to take delivery of 21 sale-leaseback financed aircraft next year, eight in the first half, all of which are A321neos and 13 in the second half, of which five are A321neos and eight are A320neos with the second half deliveries heavily weighted towards the fourth quarter. The aircraft leasing market today is strong and we've secured sale-leaseback financing commitments for expected deliveries through 2025 along with approximately one-third of 2026 expected deliveries. Our fourth quarter guidance was published in the earnings announcement we issued this morning. Recapping key highlights. Fourth quarter non-fuel operating expenses are expected to be $725 million to $745 million, including an estimate of approximately $10 million related to cost inefficiencies from hurricane related impacts and temporary excess crew related costs tied to capacity reductions. Also bear in mind, the prior year quarter included a $36 million lease return benefit as we extended leases on four aircraft. On a full year basis, we expect stage-adjusted CASM ex-fuel for 2024 to be down approximately 1% versus the prior year at the low end of prior guidance despite the significant reduction in off-peak day-of-week capacity in the last four months of the year that wasn't initially contemplated in our guide. The average fuel price per gallon for the fourth quarter is expected to be in the range of $2.40 to $2.50 based on the fuel curve as of October 24, adjusted pre-tax margin is expected to be in the range of break even to 2% which includes an estimated 2 percentage point impact related to weather resulting in an expected full year adjusted pre-tax margin of break even to just modestly above. With that, I'll turn the call back to Barry for closing remarks.
Barry Biffle: Thanks, Mark. I'm proud of the progress team Frontier has made in executing our revenue and cost initiatives while also improving our operational performance and customer experience. We expect the continued progress and maturation of these initiatives in the fourth quarter and into 2025 to drive further inflection RASM on a stage-adjusted basis, which combined with our significant cost advantage is expected to support our objective of getting back to double-digit margins by the summer of 2025. Thanks again for joining us this morning. Before we begin Q&A, I want to flag that we will not be commenting on any potential M&A in our industry. Operator, we're ready to begin the Q&A.
Operator: Thank you. At this time, we’ll conduct the question-and-answer session. [Operator Instructions] Our first question comes from the line of Ravi Shanker of Morgan Stanley. Your line is now open.
Ravi Shanker: Great, thanks. Good morning everyone. So maybe kind of to kick off just on the ASM guidance for next year are going to, what do you think that RASM trajectory looks like for 2025 given like you think can now grow only mid single digits? Like, given some of the new initiatives like do you think that there can be a little bit of a revenue offset there?
Barry Biffle: Yes, look, we look at the path to back to double-digit margins as being driven at this point by the revenue initiatives, whether it's the network maturing – the maturing of The New Frontier and all the premium products that we've got, the continued maturation of the loyalty programs we got, plus the industry backdrop just in general I think is very accretive to this. So I think you can pretty much draw out a line from here and you can see why we're really bullish about getting back there. Especially if you consider fourth quarter, we wouldn't have had Hurricane Milton, we'd have made several points in margin this quarter.
Ravi Shanker: Got it. Just to follow-up, just to that point, I think your guidance of getting to double-digit margin by summer of 2025. I think the Street is below half that number, right? So what's the Street not getting? Is it just the potential for converting that RASM or where do you think we need to close the gap versus expectations?
Barry Biffle: Well, I think the biggest bucket is probably just the maturation of all the new network initiatives that we did this year. I mean, you got to go back and look that we grew our revenue pool by over a third year-over-year and now you're looking at growth sub-10%. So much bigger revenue pool. But yet that flying was very immature. So when you lap year-over-year 20% to 30% increase in maturation multiplied times 20% of your capacity. This is one of the simplest things I think for the Street to get, that's in the 4% to 5% range of RASM, then you've got what we've got kind of the beginnings of The New Frontier, I mean, we're just now getting to 70% paid load factor with UpFront Plus and we're seeing real attraction in our premium products. We're seeing real success in The New Frontier and that merchandising that's work, that's mature, that's worth a couple of bucks. And then we have a new app coming out as well as NDC, which we have seen across the industry has been very accretive as well. So we've just got a lot of things in the tank and I think probably more than anyone on a tailwind perspective for RASM. And that's before you get to the overall industry backdrop of capacity, which I think what we're seeing now is people are cutting and they're going to continue cutting until they hit their target margins. So I think that's probably the best backdrop that we've had I think in probably in seven to ten years.
Ravi Shanker: Very helpful, thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Brandon Oglenski with Barclays. Your line is now open.
John Dorsett: Hi, this is John Dorsett on for Brandon. Thank you for taking my question. With capacity mid-signal-digits next year, how are you able to control costs? And then can you also just talk a little bit about your rent line? And with all the sale-leasebacks expected to come, how should this affect rent over the next year?
Barry Biffle: Yes, sure. Go ahead.
Mark Mitchell: Yes, yes. So I mean specific to next year. So as I mentioned, we are expecting 21 deliveries next year, with eight of those 320neos and the balance 321neos. And so we have those sale-leaseback financed. And so similar to what we've highlighted before, you would expect a similar amount of gains tied to that. And then as we turn the page to 2025, we're on target as we stand now to achieve the $150 million annual run rate benefit from our cost savings program by the end of this year. And then as we look to next year with the moderated capacity, those capacity adjustments are investments that from a commercial perspective are expected to help drive incremental RASM in a better overall margin outcome. So I think that's the overview.
Barry Biffle: I just think I would add too, I think if you look at the latest costs, even including the fact that we reduce capacity, we're becoming the premier ULCC. In order to do that, you got to have the lowest cost in space. It's in our DNA. We're managing everything about it. Everything that Mark just mentioned on the simplification of the network and so forth. But what we've seen is the cost convergence is true across most of the industry, but not in the case of Frontier. And I think that's kind of misunderstood and not really highlighted. We are over 40% in Q3 and it looks like based on the guidance that we're seeing we'll continue to maintain that over 40% cost advantage even as we roll into 2025.
John Dorsett: Okay, great. Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from line of Savi Syth of Raymond James. Your line is now open.
Savi Syth: Hey, good morning. Just to follow-up on that last question. So for unit cost pressure next year, could you help us kind of think through that like seeing kind of mid-single-digits again next year or should it be better or at least help us think about like the moving parts on a year-over-year basis?
Mark Mitchell: Yes. Savi, at this point, yes, we're not guiding next year. I mean, what we're focused on right now is getting to that $150 million annual run rate target as part of our cost savings program. But we're still working through the guide for next year. So we're not guiding at this point.
Savi Syth: Got it. And maybe Barry, you alluded to this, but I wonder if you could give a little bit more color on, you did do a lot kind of capacity that you put in other markets and so a lot of markets that are maturing. Could you talk about what the ASMs under maturity were as you progress through this year and what that looks like next year?
Barry Biffle: Yes, sure. It's a great question. So look, we did a significant redeployment from last year mainly out of Florida, a little bit of Las Vegas. And we moved that across several of our new bases. I think in large part we saw hitting normal historical averages, call it, two thirds of those routes worked. I think the only disappointing – really area was actually New Orleans. We just didn't see universally anything work out of New Orleans. We think there's some local issues there, but by and large we're seeing really good early results and we expect that maturity curve to come through and you're going to hit the historical averages. So that's why I mentioned, I think in the first question, what's most misunderstood. I don't think people are understanding that 20% of our capacity was outsized redeployment and you're going to have a 20% to 30% bump on maturity as we wrap into 2025. So I don't think there's anyone out there that's got the tailwinds that we have on the revenue side.
Savi Syth: So starting 2025, do you get back to your normal mix of kind of new versus mature markets?
Barry Biffle: Yes, I think it's going to come down. You're still going to have a little bit of new. We've kind of got a few kind of lingering, I'd say, couple opportunities that we're really interested. But yes, I think you're going to, by spring, summer, you'll get back to kind of a normal mix of new markets as largely part of our growth. And I think you'll – over time, probably, yes, I think sometime by July you probably have your growth rate tied to the new markets.
Savi Syth: Thank you.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Michael Linenberg of Deutsche Bank. Your line is now open.
Shannon Doherty: Hi, Barry. This is Shannon Doherty on for Mike. Thanks for taking my question. So can you provide us with more detail on the drivers of this year's $150 million cost savings program?
Mark Mitchell: Yes. So from a, yes, cost savings program standpoint, the high level by the network simplification that we've talked about getting to over 80% out and back, the crew footprint – crew based footprint that we put in place. In addition, really across the business aggressive, cost management, from a headcount per aircraft standpoint and various other metrics, as well as a number of automation initiatives across the business that collectively are getting us to that $150 million annual run rate target.
Shannon Doherty: Got it. Thanks. And Barry, on the revenue side, you have a lot of basically revenue initiatives going on and I know we’ve talking about them extensively, but which one are you most bullish on? Or said differently like what initiative is going to be the largest contributor to hitting your 10% to 14% pre-tax margin guide?
Barry Biffle: Well, I think the largest contributor is the network maturity. If it took a single bucket and it’s just math, right? It’s going to happen. I think the one we’re probably the most excited about is actually what we’ve been doing from a premium perspective and from a loyalty perspective. We’re seeing huge uptake in our credit card as an example. We’re in a situation with relatively low growth right now in the fall. But yet we’re seeing the highest credit card applications in our history, right? So – and they’re jumped massively year-over-year because of all the initiatives that we’ve done this year. So I think if you flow that out, the maturity over the next several years is massive in the loyalty. I mean, if you take the loyalty revenue that the industry gets compared to us, we are several dollars a passenger below where we should be. And I think you don’t get there through little small steps. You get there through some big changes. But it takes a while for that to mature. So we think we made a lot of those changes. We got more to come. But I think the one area that we’re most excited about is probably loyalty because again, if you look at the industry, this is something they get up in the teens and $20 plus per passenger, we’re in a couple of bucks a passenger. So this is a huge opportunity.
Operator: Thank you. One moment for our next question. Our next question comes from our line of Andrew Didora of Bank of America. Your line is now open.
Andrew Didora: Hey, good morning, everyone. Barry, just to clarify, on the double-digit margins by summer of next year, is that a comment just on margins over the summer? Or is that a true run rate figure that we can kind of build off of going forward?
Barry Biffle: No. Run rate.
Andrew Didora: Got it. And just in terms of some of the credit facility moves that you made over the quarter, why was now the right time to raise additional liquidity? Was there something in the credit markets or your business trends that made you think differently about it at this point in time? Thank you.
Mark Mitchell: Yes. I mean, I think overall we have a very attractive base of loyalty assets and we’re always going to look at ways to optimize our balance sheet. And for us, establishing a revolver with that as the collateral gave us a very cost efficient way to increase our liquidity. And so it just made a lot of sense. And then from a PDP financing perspective, just given the growth in our fleet looking forward, it was the right opportunity to expand that facility, had significant interest and so had a successful outcome with that as well as we highlighted in the prepared remarks.
Andrew Didora: Thank you, Mark.
Mark Mitchell: Yes.
Operator: Thank you. One moment for our next question. Our next question comes from line of Scott Group of Wolfe. Your line is now open.
Scott Group: Hey, thanks. Good morning. So Barry, any color on how to think about first half 2025 capacity? And then I know you don’t want to talk about Spirit and I’m sure you love hypothetical questions. But just hypothetically, if you have a deal with someone and you’re waiting on approval for that deal, how does that change your mid-single digit standalone capacity? You think it’s more likely to be higher or lower than that if you have a deal with someone?
Barry Biffle: Nice try, Scott. We’re not commenting on M&A. But look, yes, we’re targeting mid-single digits for capacity growth and we’re not actually putting it out by quarter, but that’s the plan for the year. I’ll let you ask another question since I’m not going to answer it.
Jimmy Dempsey: But to give you a little bit of color, Scott, we obviously adjusted the network as you progress through the second half of this year that has to lap into next year. And so the first half of the year will obviously have slower growth. Stage normalizes around 900 miles or so, plus or minus as you progress through next year. So you’re going to see some ASM growth come into the business in the back half of next year, but lower actual seat growth in the business. But that’s kind of how the year will shape next year as you see the effect of taking down Tuesdays and Wednesday capacity predominantly flow through the first six months of next year.
Scott Group: Okay. And then when we look at your cost guidance for Q4, I think it’s something order of magnitude $0.075 of CASM ex, right? What – I get there’s some hurricane in there, but like…
Mark Mitchell: Yes, I mean…
Scott Group: What is sustainable there like what goes lower from there? Or do we see – or does CASM ex grow from that level?
Mark Mitchell: Right. I mean, so when yes – when you step back right and you look at the year-over-year, I mean, first of all, you got to keep in mind right, last year had a $36 million benefit from some lease extensions we did. And then as you look at the number for this year, first of all, you’ve got, fleet growth is up 17% because of lower stage. You’ve got departure growth that’s up as well. And so those items combined with just some of the maintenance tied to a larger fleet right, is what along with just some of the station mix that we’re in and some rates tied to that drive the year-over-year increase. And so when you look from an overall year perspective, I mean, we have been consistent from the beginning of the year that our stage adjusted CASM ex was going to be down. And it was, or it still is what we’re projecting to be down 1% for the full year. And as Barry mentioned earlier as well, I mean, our cost advantage remains over 40% on a per passenger basis versus the rest of industry.
Barry Biffle: Yes, I think optically, Scott, you need to look at the stage. So if you look at it stage adjusted, you won’t see as big amount.
Scott Group: No, I get the year-over-year increase. I’m just trying to figure out the absolute CASM $0.075. Is that sort of the right run rate to be thinking about going forward?
Barry Biffle: That’s you’re not stage adjusting it, Scott.
Mark Mitchell: Yes. I mean, I think on, yes, on a stage adjusted basis, right, for the fourth quarter, I mean, you’re closer to $0.07. [ph] And within that number, there are items in there that are tied to the lower capacity on off peak days and the other items I mentioned, but still get you to the full year, down 1%.
Scott Group: Okay. All right. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Jamie Baker of JP Morgan Securities. Your line is now open.
Jamie Baker: Hey, good morning, everybody. So let me try a couple of questions admittedly inspired by my competitors earlier on the call. On 2025 ex fuel CASM, it feels like sale leaseback gains could turn from a tailwind this year to a headwind next year. I know you don’t want to give a full year fully loaded CASM guide, thanks to Savi [ph] for asking. But have you worked up just with the sale leaseback strategy could contribute next year and is it indeed a headwind year-on-year?
Mark Mitchell: Yes. Yes. I mean, just isolating on the sale leaseback gains given the mix and the number of aircraft, certainly that would drive lower sale leaseback gains. But I mean, as you look at next year, I mean, we believe we’ve got more than enough tailwinds to mitigate that. And you’re going to have next year the full year benefit of the network simplification and there’s a number of other items, right, that we’re looking to continue to aggressively manage our costs.
Jamie Baker: Okay. And then Barry this is not asking you to comment on future M&A. My question is wholly backward looking. So let me try that strategy. It’s been – I don’t know, 36, 37 months. So what percentage of the original Spirit-Frontier rationale might still apply given everything that’s happened at the industry level. So just looking in the rearview mirror, not asking you to comment, looking forward.
Barry Biffle: Jamie, I love you, but I can’t comment on that.
Jamie Baker: All right.
Barry Biffle: Look, we’re really excited about being the premier ULCC. I think we have proven that we have the lowest costs. We’ve proven that we can expand our cost advantage. We have probably, I think deployed on the revenue side and executed better for network for all these initiatives, loyalty premiumization and so forth. And we’re going to buck the kind of excess capacity and I think that everything’s coming together. So we’re excited about our future right now. We’ll see what happens.
Jamie Baker: Could I squeeze another one in just…
Barry Biffle: I’ll let you have one as long as it’s not the same variety.
Jamie Baker: Okay. Notwithstanding the comments you’ve made already on the call, I don’t want you to just repeat yourself. But if I compare the fourth quarter guide to the second quarter outcome, your margins were let’s call it flattish in the second quarter. You’re guiding something in that ballpark for the fourth quarter. And I totally understand seasonality in the airline business but domestic capacity is so much tighter today. Fuel is $0.40 lower. I mean what headwinds would you identify to help explain why your margin guide isn’t better than the second quarter? Or is it just completely seasonality?
Barry Biffle: Well, I think are seasonality, but I mean don’t underestimate the Florida impact. We don’t know how good it would have been. We just know that our sales kept climbing, climbing, climbing. And then we had two back-to-back hurricanes and having a base in Tampa was not very helpful. This year was great. It’s great on the cost that Mark wants to brag about. It’s not good on the revenue side, hurricanes and two of them that hit that area plus its impact on Central Florida as well with Orlando based. But look, I think we are disappointed that we didn’t get to that single digits but I think we would have gotten much closer had we not had it. The other issue is just the maturity of we got a lot of brand new markets right now and so we’re kind of taking a pretty healthy drag from that. And I think there’s one other factor that will definitely normalize as we move into the next season. But there were a lot of cheap seats, Jamie, this summer. I mean if you wanted to go in July, it has never been that cheap. I mean not only were the fares low, you had September fares in July. So anybody that wanted to travel during the peak time was able to. And so that bomb went off on the capacity world and we’re still kind of reeling from that. I think now as we move to the winter season, we’re optimistic that this is going to change. For the first time, we’re going to have capacity growth actually lower than GDP in a long time. And so I think we don’t need to underestimate, not to bring up how long you’ve been around but what that’s going to do for industry rather.
Jamie Baker: All right. Speaking to the bald spot, thank you Barry, I appreciate it.
Barry Biffle: Thanks, Jim.
Operator: Thank you. One moment for our next question. Our next question comes from line of Steve Trent of Citi. Your line is now open.
Steve Trent: Thank you very much, gentlemen, and I appreciate you taking the time. Most of my questions have been answered. But if I could ask one about your expectations around future growth, so when you think about your passenger flow, for example, any high level view on how much of that's going to come from your guys, sort of organic growth versus attrition from other carriers versus your alliance with Mexico's Volaris? Thank you.
Barry Biffle: Good, great questions. Look, I think I could start it and Bobby can talk about some network, but I think at the end of the day we're going to focus on organic growth. But to the extent that someone with higher costs or someone leaves a market and it makes an opportunity. I think folks know we're probably the most nimble in the business and we will probably jump on that opportunity faster than anybody.
Bobby Schroeter: Yes, and I think, I mean that speaks to the history here. Look, we did, we modified the network and we're nimble in what we did there. You've heard this word quite a bit during this conversation, but it's real, which is the maturation of this as we go through this. Some of it is things that we set up months ago and we'll continue into next year and we'll build and be able to get natural growth there in terms of the maturation of the network itself. And then of course we talk about the premiumization and a variety of other things. These are things that we have the lowest costs and we're providing a product at a lower cost than anybody else can provide it that, that our customers have wanted but haven't had necessarily access to. So that's still in its maturation phase as well and helps us as we're trying to both grow our customer base and retain who we've got. So lots of opportunity there as we move into the future.
Steve Trent: Okay, I appreciate the time. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Duane Pfennigwerth of Evercore ISI. Your line is now open.
Duane Pfennigwerth: Hey, thanks. Can you talk a little bit about the recent schedule changes to the month of December specifically? Was that aircraft deliveries getting pushed or, you know, that you had to react to, or was that something else?
Barry Biffle: Yes, look, Duane, we've been adjusting our network over the last number of months, obviously to manage Tuesday, Wednesday, Saturday flying that we've been taking down. And the recent change is just to the first half of the month adjusting for some movement in aircraft deliveries. And so there's nothing really significant in that other than us finalizing our network as we get closer to the month.
Duane Pfennigwerth: Got it, Got it. And then just for my follow up, contractually not saying you're interested in doing this. But would your contracts allow you to sell future delivery positions in your book? Not saying sale leasebacks, but outright sale for future delivery? Understand your plan, it sounds like it's baked for 2025 on the sale leaseback front, but if you're going to grow 5%, let's say if that's the plan in 2026, which I assume it's not, but if it were, do you need to take 21 aircraft to hit that 5%, or could you actually monetize some of the value in your book through outright sale?
Mark Mitchell: So we can't get into commercial terms of confidential deals, but I think right now we've spent a lot of time recently on our fleet and we're very comfortable with profile and feel very good about the delivery schedule as it exists; I know a lot of it. Airbus deferred a bunch of it and, and it got, I guess, kind of lumpy. And we had the opportunity to work with them this summer to kind of smooth that out. And so we took all their deferrals from the various challenges they had, their supply chains, and we were able to fix kind of the problems that were created from those deferrals and they kind of really smoothed it out. So we feel very good about the profile Duane.
Duane Pfennigwerth: Okay, appreciate the thoughts.
Mark Mitchell: Thanks, Duane.
Operator: Thank you. One moment for next question. Our next question comes from the line of Christopher Stathoulopoulos of SIG. Your line is now open.
Christopher Stathoulopoulos: Good morning, everyone. Thanks for getting me on. So, Barry, just. I'm going to keep it to one question, but two parts here. Just want to better understand how we should think about the network for 2025. So the earlier question, there was a question that relates to, I think it was a mix of maturity versus kind of longer standing or new versus mature capacity, if you could give that that mix there? And then also, remind us of the criteria that you consider when evaluating new markets. So is that profitability by origination, cash profit by flight segment, and then, b, looking at your selling schedule for next year still taking shape? But just how should we think about whether it's you want to contextualize it insofar as breadth or placement of capacity, so regions or perhaps crew versus non crew base routes? Thank you.
Barry Biffle: Okay, so there's a couple parts in there. So what happened this year is with the redeployment, we had months, we were over a third of our flying was in kind of new routes, if you will. And to be specific, what I said is we hope that by the time I get to mid next year that new flying very closely mirrors kind of the amount of growth we have. So said another way, if we were growing 10%, we might have 10% in new markets. So we'll probably likely grow outside our footprint for some time, for several years rather than density within our existing. But if we see opportunities, we'll look at that. I'm sorry, on the – on the other parts of your criteria for new routes, look, we look for things that we think will make solid double-digit margins and so we look at our cost structure relative to what we think the revenue production is going to be. We, I don't know, I'd say we're probably 97%, 98% accurate on costs. Every now and then we get surprised, good or bad on costs and we've got about a two-thirds hit rate on the revenue estimates. And sometimes like I mentioned, New Orleans didn't materialize, it didn't stimulate. We're not sure why, but we don't second guess why market dynamics happen, it just didn't. And then so the last question is what regions – it's hard to say. There could be some interesting opportunities. We tend to wait. We have the benefit of largely I think probably a closer in booking curve than most of the industry. And so we look at the – at the opportunities. So what's everybody going to be doing by next summer? And it could open up an opportunity or two. We have a long list. We have kind of a rolling three to five-year plan and if someone cuts a bunch of, you know, we're going to go after it. And I'm actually staring our planning head, who's nodding this head. And that's, that's going to be really market driven, what opportunities present themselves but we'll be the first ones to jump on it.
Christopher Stathoulopoulos: Great, thank you.
Barry Biffle: Thanks.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Conor Cunningham of Melius Research. Your line is now open.
Conor Cunningham: Hi everyone. Thank you. Maybe following up to that question, Barry, you talked about being the premier ULCC, so maybe you could just comment on the segment as a whole? Do you think the ULCC segment has made enough structural change at this point or is there further capacity rationalization that needs to come? And then within that, do you, within your double-digit margin comment, do you expect further supply to come out? Thank you.
Barry Biffle: Well, so look, I think we have validated that the ULCC model is fantastic. I think if we look at domestic only revenues and domestic only flying, I parse that out from carriers that have a huge subsidy on half their business flying international. We think we're probably one of the top tier margins, and if you include loyalty we are by far the best performing on a margin basis domestically in the United States, hands down. And so we think we've validated our model. What's happened in the United States, there's just been simply too much capacity and there's in particular been too much narrow body capacity. And those tend to have to fly the similar type routes. We are seeing the market forces push capacity out and I think you're going to continue to see that happen. The industry will pull capacity until people reach their target margins. And I would argue you're a long way away from that. And so we expect to continue to see positive momentum. We've made the tough decisions ourselves, we've seen other carriers do that and history shows they'll continue to do it. So I remain pretty confident that you will right size the capacity in the domestic U.S. and the margins will come back in shape and the ULCC model will be the highest margin in that domestic space.
Conor Cunningham: Okay, that's helpful. And then maybe you could just talk a little bit about – in the past we've just talked about why scale matters a lot. Can you talk about why that matters to Frontier at this point from a sustained earnings perspective and cash flows over the long-term? Thank you.
Mark Mitchell: Yes, sure. I think the biggest benefit to scale is actually on the revenue side. I mentioned a while ago the thing that we're most excited about is actually loyalty. And if you think about the opportunity that exists if we could get from the low single-digits to upper single-digits, you can do the math 5 bucks a passenger on 40 million passengers, that's $200 million a year, and that is benefited from scale. And so the more scale you have, the more top of mind your card and your loyalty currency is and so the more usability they have. So that is one of the biggest benefits to scale. I would argue some carriers without kind of our cost DNA oftentimes benefit from the, I guess the buying power, but we believe that we've kind of overcome some of those. So it's mainly on the revenue side.
Conor Cunningham: Okay, appreciate it. Thank you.
Operator: Thank you. One moment for our next question. Our next question comes from the line of Tom Fitzgerald, TD Cowen. Your line is now open.
Tom Fitzgerald: Thanks so much for the time. Just sticking with that comment about other revenue per passenger going from a couple bucks to I think you said $5 here. What is like the timeline? Is that something you're expecting next year or just going over the next handful of years, that's like your North Star that you're working towards?
Barry Biffle: Yes. I think it'll take a couple of years. We haven't laid out kind of a, I guess a target yet, but we believe that it's very realistic to get in the $5 to $7 range over the next several coming years.
Tom Fitzgerald: Okay, that's really helpful. And then just a housekeeping one, it looked like a fuel efficiency just in ASMs per gallon. It's kind of been pretty muted year-on-year this quarter and last quarter even though you're still taking a lot of neos. Just wondering if I'm missing anything there or any comment on that? Thanks again for the time.
Bobby Schroeter: Yes, so that's kind of a factor. We talked a little bit about the stage while ago. You have to look at the fuel burn by stage and so when we pulled down the stage, the taxi time stayed the same, the climb stayed the same. And where you get efficiency is at cruise when you're running 500 miles an hour. But it's still industry leading and especially at that stage.
Operator: Thank you. I'm showing no further questions at this time. I'll now turn it back to Barry Biffle for closing remarks.
Barry Biffle: I want to just thank everybody for joining today. We look forward to talking to you in 2025. We believe we are the premier ULCC and we're really excited about the tailwinds that we've got going into next year. We'll talk to you in 2025.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.